Operator: Good day and welcome to the TEGNA Third Quarter 2016 Earnings Conference Call. This call is being recorded. Our speaker for today will be Gracia Martore, President and Chief Executive Officer; and Victoria Harker, Chief Financial Officer. At this time, I'd like to turn the call over to Jeff Heinz, Vice President, Investor Relations. Please go ahead.
Jeffrey Heinz - TEGNA, Inc.: Thanks, Tony. Good morning and welcome to our earnings call and webcast. Today, our President and CEO, Gracia Martore; our CFO, Victoria Harker, and members of our leadership team will review TEGNA's third quarter 2016 results. After that, we'll open up the call for questions. Hopefully you've had the opportunity to review this morning's press release. If you have not yet seen a copy of the release, it's available at tegna.com. Before we get started, I'd like to remind you that this conference call and webcast include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures. We've provided reconciliations of those measures to the most directly comparable GAAP measures in the press release and on the Investor Relations portion of our website. With that, let me turn the call to Gracia.
Gracia C. Martore - TEGNA, Inc.: Thanks, Jeff, and good morning, everyone. And let me join in welcoming you to our third quarter earnings call. Now, I'm going to provide some updates on the developments that we announced in September as well as some highlights on TEGNA's overall performance and each of our businesses during the quarter. Then I'm going to turn it over to our business heads, Dave Lougee, President of TEGNA Media; and Alex Vetter, CEO of Cars.com, for a closer look at their respective businesses. And after that, Victoria will cover the financial highlights in a little bit more detail. Overall, we had a very productive quarter on multiple fronts. So let's just get right to it. As you know, in early September, we announced our plan to separate Cars.com from TEGNA, creating two strong industry leading companies with the tools and resources they need to grow profitably in their targeted markets. And to respond to the rapid changes taking place in the broadcast and digital sectors. Now as you may have seen, we filed our Form 10 on the day we announced the spin back in September. Last evening we filed our first amendment to that Form 10. We remain on track to complete the spin-off in the first half of 2017. Alex and we are actively interviewing for key roles that will be integral to Cars.com as it begins trading as a publicly listed company. We're also making progress on the strategic review process for CareerBuilder, which is now underway. We've hired an investment banker and will be reviewing a variety of alternatives. I have to say we are very pleased with the level of unsolicited interest we have received to date. Turning now to our performance during the quarter. As you saw, companywide revenue increased 14%, driven by a strong performance of TEGNA Media and solid results within our Digital Segment. Our adjusted EBITDA was substantially higher, and our adjusted EBITDA margin improved compared to the third quarter last year, as well non-GAAP EPS grew 76% year-over-year. TEGNA Media revenues rose substantially as you saw, as our strong NBC footprint led to record Summer Olympic advertising revenue in the quarter. We continue to benefit from the strong growth trajectory and retransmission revenue we have seen over the past several years, and we also benefited from substantially higher political revenue, though not as much as we had hoped given our footprint and what the actual presidential footprint ended up being. As you're all aware, this year's presidential election has been atypical to say the least. Now, Dave's going to provide some additional color on the political spending landscape in his remarks. Turning to the rest of our growth drivers, we are focused on diversifying our revenue streams in the Media Segment, particularly in the digital space. We have launched an over-the-top video advertising business Premion and continue to effectively link digital content with digital sales. As we have previously discussed, there are several initiatives underway that center on enhancing core revenue, our digital marketing offerings and of course most importantly our content. All of which, we are confident will offset the anticipated gap in net retrans in 2017, and you'll get a little bit more detail on those initiatives a little bit later. Turning to TEGNA Digital, revenues there also improved in the quarter, led by a strong direct revenue increase at Cars.com and another quarter of improving revenue growth at CareerBuilder. In August, we completed the acquisition of DealerRater, the leading car dealer review site. Already we have made significant progress on our integration plans and are hitting the ground running in the fourth quarter. We expect DealerRater to contribute to Cars.com's revenue growth meaningfully as we move through 2017. As you are aware, digital offering was the fastest growing segment within the advertising ecosystem and automotive continues to be one of the top categories. As industry trends continue to evolve and digital marketing budgets for dealer groups and auto manufacturers keep expanding, we expect to gain ground and capture a larger piece of the growing pie. We are taking steps to ensure that we are well-positioned as we head into 2017 and beyond by implementing initiatives aimed at improving traffic and strengthening our leadership position in mobile. You'll hear more about specific growth initiatives underway at Cars.com shortly, but let me take a moment to reiterate some of the themes we covered at the time of the spin-off announcement. Cars.com is a strong, highly recognizable national brand with consumers and has a broad footprint in a highly attractive growing digital auto marketplace. It is the trusted source for millions of Americans in search of new and used cars as well as maintenance and repair services. Additionally, with an EBITDA margin in the high 30%s, relatively low CapEx and strong reliable cash flows, it offers a unique mix of operational excellence and profitability combined with growth dynamics rivaled by few others in the industry. We continue to be confident that Cars.com will thrive as an independent company and will benefit from even more flexibility to invest in further organic growth and to participate in the digital automotive M&A market. Moving on to CareerBuilder, we had another good quarter supported by larger longer contracts and new customer wins across all of its human capital solutions, as well as its new acquisitions. CareerBuilder revenues are up 4% on a constant currency basis. At the center of this is, CareerBuilder's pre-hire platform, which offers the most comprehensive and leading edge combination of recruitment advertising, software and services on the market. There is nothing else like it and it's making a meaningful impact on businesses today. What's even more exciting is that CareerBuilder is now moving into post-hire solutions with the recent acquisition of WORKTERRA, a leading innovator in the cloud-based benefits administration and talent management space. CareerBuilder is seeing strong organic growth in its software solutions, resume database and managed services line. Software invoicing in North America was up double digits and its Source & Screen business was up strong double digits year-over-year in the third quarter after transitioning into a platform-based offering and is forecasted to accelerate in the fourth quarter. As we have noted before, job postings continue to experience pricing pressure at the unit level and we have reflected that in our thought process and projections. And we are off to an even stronger start to the fourth quarter at CareerBuilder. Now, before I turn it over to Dave, let me remind you that due to the change in our fiscal year last year, in the fourth quarter, the fourth quarter this year will actually have three days less than last year's fourth quarter. Victoria will share with you the impact that we anticipate that that will have. Now, I'd like to turn it over to Dave Lougee, who'll give you a deep dive on TEGNA Media. Dave?
David T. Lougee - TEGNA, Inc.: Thank you, Gracia. As we forecast, TEGNA Media will have a record year and we had a record third quarter. We billed record Olympic revenue of $56 million. That's a 20% increase over the last Summer Games in 2012 and a 35% increase over the Winter Games in 2014. TEGNA also claimed four of the top five highest rated stations and six of the top ten across the country. Now, let's turn to the hot topic of political advertising. We billed $38 million in the third quarter, down from $55 million in 2012. There were two main factors for the decline, but they're both tied to one common cause, Donald Trump. Compared to 2012, there was a big reduction in overall presidential money raised, and as a result, a lot less money spent on presidential overall. The donors who'd backed Mitt Romney for all the well publicized reasons weren't there for Mr. Trump. Neither his campaign nor his PACs were there. Additionally, Hillary Clinton and her PACs did not match President Obama's spending levels for either 2008 or 2012. And for us, TEGNA, Mr. Trump had another impact. What had been an unprecedented presidential footprint in 2012 got changed this year. For instance, he took both Colorado and Virginia out of play, two states where we have a big presence, two states that would have otherwise have been very – seen very heavy spending like they had in the past. Hillary and her PACs went back up in Colorado and Virginia this week, but have otherwise sat out those markets from most almost of the general election season. In third quarter, our billing for the Senate, House and governors' races were all up over 2012, but they couldn't make up for our delta on presidential. In 2012, presidential was 50% of our third quarter political spending. This year it was 23%. And for the fourth quarter, now with less than a week to go, as we all know, we're now forecasting to finish with $88 million to $90 million in political dollars for the quarter. The same political dynamics in third quarter carried through to fourth quarter, though the Trump factor also took the Colorado senate race out of play, which had been a big spender for us in the past and assumed to be this year. And two other big market senate races in our footprint also turned non-competitive for the big national dollars, and that's Ohio and Florida, the senate races. The one part of our footprint that doesn't vary really at all is the number of competitive U.S. House races we have. Since we're in a third of the country, we represent a third of those House races, and it's notable that our fourth quarter billing for the House will exceed both 2012 and 2014, showing the continued unmatched importance of local broadcasters in reaching likely voters. Now, let me also take a moment to address two other industry topics that have gotten some publicity lately. The first is the NFL, where there have been some year-to-year declines in national ratings. For us, there are some declines in prime time ratings from last year. But notably on a two-year CAGR, our most important NFL franchise is flat. I'm talking about Sunday Night Football on our many NBC stations. So while they're down some from last year's record numbers, they're still at near historic levels, and that includes a Sunday night this year against one of the highly-rated presidential debates. Our numbers also over-index against the national Sunday night NFL ratings, weekend and weekend afternoon NFL ratings have been less affected. And I should also point out overall demand for our NFL inventory remains up. The other topic I want to update you on is OTT distribution of our stations. While we're not going to comment on any individual distribution deal discussions, we can reiterate with confidence what we've said in the past, and that is that OTT distributors very much value the local national broadcast channels over all others because the consumers do. And given our scale, we have a key seat at the table in conversations with both the OTT distributors and the networks, and amongst the OTT distributors, that includes both new entrants as well as traditional MVPDs. And while this new area is still sorting itself out, our value to consumers firmly positions us for positive economics in this evolving space. Now let me update you on the work we've been doing this year to erase the one-time hit of new reverse compensation payments next year. As a reminder, we are currently paying reverse compensation payments on all of our network affiliates except the group of NBC stations we owned before the purchase of Belo. Those stations begin paying reverse compensation to NBC on January 1 of this coming year. As we discussed at our Investor Day last year, we've been planning for some time to offset that one-time so-called retrans gap, and I'm pleased to report those initiatives are on track. First, we'll be addressing that gap on the retransmission top line. We have multiple deals up between now and the end of this year, allowing us to reset the subscriber rates on 42% of our subs. As indicated before, there is a continued gap between the audience demand for our channels and the percentage of the overall retrans pie we receive. And as we've shown in past negotiations, we are able to get the strong rates our strong stations deserve. Separately, as we've also reported on before, we have a number of core and adjacent (14:25) initiatives well underway, and they are on track to slightly exceed the $30 million EBITDA contribution for this year that we had promised. And they are ramping nicely to provide the contribution we need for the full year to cover the gap next year. In terms of core revenue, we're seeing nice revenue share gains from several of the sales transformation initiatives I previously introduced. This quarter we're seeing share gains resulting from our centralized pricing initiatives. In addition, our focus on enterprise custom client solutions versus transactional revenue has us on track to generate significant incremental revenue that will flow directly to our bottom line. The stations are utilizing our centralized ideation and customer solutions group in Dallas, called Hatch. Our transformation initiatives are also seeing gains on the content side. We've launched three new formats within the new genre and all are showing strong signs of audience adoption. Two out of the three are now the number one shows in their time periods and one in particular is seeing double-digit rating gains compared to the newscast in the same slot one year ago. Finally, we're very excited to talk about the new disruptive OTT ad service this business that Gracia referenced and that we publicly announced this morning. It's called Premion and it's our new branded long-form OTT advertising business. It is now out of the gate, in the market, filling an unmet need in the local marketplace. Dollars are already flowing through the technology pipeline we've created. Premion connects more than 80-branded and well-known networks to TEGNA's 14,000 regional and local clients across all U.S. DMAs. That number 80 is this week's number and it's growing by the week. It includes OTT distributors and programmers like Sling TV, Sony, Crackle, Zumo (16:20) and Tubi TV. We are first mover in this space and seeing strong results from our initial launch markets. We're positioned nicely to capture value from the rapidly growing space of OTT on-demand viewing of long-form programming and that's what this is focused on. We're leveraging our local sales forces and our local clients and they're both working with the form of advertising, they know the best video. So in conclusion, we're finishing 2016 on a record note and are well-positioned to deliver on our promises for 2017 and beyond. Let me turn it over to Alex Vetter from Cars.com.
Alex Vetter - Cars.com LLC: Thank you, Dave. We're pleased with more than 8% increase in our total revenue compared to the third quarter last year and are especially proud of the growth in our retail channels. Our retail revenues are up 11.5% year-over-year. Our largest revenue gains were with auto manufacturers and major dealer chains that generally have larger resources and tend to apply a more sophisticated approach to measuring digital marketing effectiveness. They understand the influence of their marketing investments more broadly than just lead generation, as well as the value of partnering with third-party sites like Cars.com to build their brands, direct traffic to their websites and motivate consumers to visit their showrooms. As we have discussed, the local sales channel initiatives were slower to ramp in the first half of this year and we've taken a leadership role in the industry by proving the value of automotive digital marketing beyond traditional lead metrics and demonstrating that consumer engagement with our dealers is happening in their showrooms. To help our customers look beyond traditional leads, we've been tracking the volume of shoppers using Cars.com from a mobile device on dealership lots as well as the behaviors of those shoppers for more than a year now. Using these findings, Cars.com launched Lot Insights, the first-of-its-kind analytics, that helps dealers better understand the activity behind the source of walk-in traffic. Our average dealers have nearly 20 people a month visiting their showrooms using Cars.com's mobile platforms. And this only captures those users who allow us to track them with geolocation services turned on. Approximately half of all mobile users do not allow for us to track their geolocation, so our understanding of value we believe is conservative. As we embark to educate the industry about the evolution of leads and the decreasing importance of e-mails and phone calls in the shopping process, we expect our sales rates and retention to improve once our value is recognized more broadly within the industry. We're working to influence the industry to adopt new metrics that matter for today's consumers, namely, the majority of those who've made the shift to mobile. On the whole, the industry is facing a SAAR that has been somewhat volatile in 2016 and although it's expected to contract slightly, this year and into 2017, auto sales are expected to remain at all time highs and dealer profitability levels continuing to be strong. We're confident in our advertising solutions, promoting used vehicles and other critical areas of the dealership, including service and these will be effective regardless of the climate. In times like these, we are extremely encouraged by the increased investment from auto manufacturers and Cars.com. These sophisticated marketers view us as highly efficient marketing partner critical to reaching shoppers with the intent to buy. While total wholesale revenues from our affiliate newspapers and broadcasters were essentially flat, compared to the third quarter of 2015, we are encouraged by the increases in revenue from some of our partners. This increased momentum is evidence that our individualized approach to working with these partners on their sales and marketing efforts is beginning to yield results. We are experiencing some challenge to our traffic numbers due in part to a comprehensive two-year site modernization effort that negatively impacted our SEO results. However, I'm pleased to report that we have finished the re-platforming initiative, which will now enable our teams to focus on optimizing our experience for a faster, more efficient technology, allowing us to speed our innovation without limitations from our past. Our efforts have resulted in a responsibly designed website that enabled us to take the leadership role in the mobile industry, providing consumers with a seamless experience across all devices, a first in the automotive third-party shopping category. To support our mobile first strategy we have made significant investments in our mobile platform that are also intended to boost traffic, showroom visits and leads. And these efforts are coming to fruition, as seen by the recent accolade from J.D. Power in its 2016 Automotive Mobile Website Study, Cars.com was ranked highest in overall satisfaction amongst all third-party automotive sites. This is the second time Cars.com has earned the top spot, which examines the features and content of automotive manufacture and third-party mobile websites and their usefulness in the vehicle shopping process. J.D. Power's ranking is evidence that our efforts and investments to move to a responsive design platform have succeeded for consumers and ultimately advertisers. As I mentioned earlier, we can be faster in creating innovative consumer focused features, while quantifying the value of our service beyond traditional leads. Our success with consumers translates into improved results for advertisers. We've also taken a leadership position in app development, reaching more consumers on more devices. An important milestone that now more people are using their mobile devices to shop for cars and seek out service providers. Given that mobile users are more likely to be repeat visitors, we're seeing an uptick in traffic that matches our app investments. Our mobile app strategy is up over 8% year-over-year. As a way to improve the consumer experience, we have added consumer focused features to our apps such as Price Drop Alerts and On the Lot VIN Scanner, which allows shoppers to scan the VIN of any car in a dealer lot with their mobile device to get additional vehicle information. In addition, urgency indicators which launched on the site in September provide consumers with real-time data on the number of views, saves and contacts that have occurred on a given vehicle within the last 30 days. In another move designed to drive site traffic as well as walk-in traffic to dealership lots, we've increased our Q4 media spend to support our recently launched For Every Turn ad campaign. This increased spend will help raise awareness for consumers, and help our advertisers garner more sales. Following the acquisition of DealerRater in August, we have moved swiftly through our integration plans and look forward to a national launch in early 2017. We're expecting to see improved performance across all our channels and now through the addition of our DealerRater product expansion, along with our mobile first investments tied to changes in consumer shopping behavior. Finally, we're looking forward to becoming a pure play online automotive company once we make the spin from TEGNA next year and become a standalone public entity. As an independent company, we will be able to focus more sharply on our key strategic priorities, which we expect to fuel continued growth. Our resources will be dedicated to opportunities specific to the evolving digital marketplace and further innovation of our market leading products and technology. Thank you. Now, I turn it over to Victoria for further comments.
Victoria D. Harker - TEGNA, Inc.: Thanks, Alex and good morning, everyone. As Gracia has already mentioned, we're very pleased to report a solid quarter results of double-digit growth in both revenue and adjusted EBITDA, driven by continued growth across the portfolio of businesses. Before I review our consolidated financial results as well as capital allocation during the quarter, I'd like to note that there were a few operating special item charges including a small goodwill impairment and severance expenses, largely related to the finalization of an early retirement program within the Media Segment, which began earlier this year. All together, these totaled $18 million on a pre-tax basis with an associated unfavorable EPS impact of $0.05 per share. Beyond these costs, non-operating special items totaled $16 million, impacting EPS by about $0.05 per share as well, primarily driven by expenses related to our planned spin of Cars.com as well as costs related to several recent Digital Segment acquisitions. As a reminder, although I will be focusing on our non-GAAP performance results during the presentation today, you can find all of our reported data and prior period comparatives contained in our press release. Now, let's briefly review the details of the operating results for the quarter. With solid performances by both Media and Digital Segments, we achieved earnings per share of $0.65, an increase of 76% over last year. Total company revenues of $860 million were up 14% year-over-year, driven by revenue gains across all of our businesses. The sale of our PointRoll business last November had an unfavorable impact on year-over-year comparisons. During the quarter, total company operating expenses of $578 million were higher by about 7% over last year, the majority of which was due to higher programming fees, as well as expenses associated with solid revenue and our ongoing investments in growth initiatives within both the Media and Digital Segments. Again, partially offset by the absence of PointRoll expenses this quarter. As a result of the solid operational execution across the segment, TEGNA, overall achieved strong adjusted EBITDA of $334 million this quarter, up 25% year-over-year and our adjusted EBITDA margin was 39%, up 340 basis points, compared to last year. Now, let's turn to a more detailed review of the Media and Digital Segment results. Media Segment revenues of $502 million increased by almost 23.5% year-over-year, driven by a record $56 million in advertising related to Summer Olympics, substantially higher transmission revenues and higher political advertising spending, as well as continued growth in Media and Digital revenue. Retransmission revenues boosted by agreements negotiated at the end of last year, as well as annual rate increases within existing agreements continue to increase substantially, up fully 32% this quarter. Beyond this, Media Segment's digital advertising revenues continued to increase up 12%, driven by digital marketing services which continued to gain traction across our television stations, driven by G/O Digital sales, extended reach networks and national digital revenues. Now, to focus on fourth quarter 2016 expectations for the Media Segment. Based on current trends and our expected range of political advertising revenue for the fourth quarter, we anticipate Media Segment revenue growth of 12% to 15% for the fourth quarter, compared to the fourth quarter of last year, driven by retransmission revenue growth of approximately 20% to 22%. Slightly lower than this year's run rate due to lapping of agreements negotiated during the second half of last year and $88 million to $90 million of political advertising revenue. Please note, as we've mentioned during our previous calls, and as Gracia already noted, we converted to a calendar year after the spin-off of our publishing assets in June of last year. As a result, the fourth quarter comparative results reflect three fewer days this year, which is about a $10 million impact to Media Segment revenues for the quarter. During the third quarter, Media Segment operating expenses of $279 million were up 13% year-over-year, primarily due to increased programming fees and investments in our strategic initiatives, including sales and content transformation projects. During the quarter, Digital Segment revenues of $359 million increased by 2% year-over-year. On a constant currency basis and adjusting for PointRoll, Digital Segment revenues were up by about 5% over last year, reflecting solid growth at Cars.com and higher revenue at CareerBuilder as well. During the quarter, Cars.com total revenues increased by 8%, reflecting increased market penetration in direct markets, the recent DealerRater acquisition and strong national display advertising. Wholesale revenue was flat compared to last year with mixed performance by affiliates. By contrast, Cars.com revenue sold through direct sales channels was up over 11%, reflecting the factors Alex mentioned earlier. CareerBuilder revenues were up 4% year-over-year on a constant currency basis. The growth was mainly due to higher resume database revenue, continued sales momentum of Software as a Service solutions and recent acquisitions, partially offset by continued headwinds on our job posting business. For the Digital Segment, operating expenses of $284 million were up 2% reflecting accelerating investments in growth initiatives and the acquisitions within both Cars.com and CareerBuilder, partially offset by the absence of expenses at PointRoll. In terms of capital expenditures, our CapEx during the quarter was $29 million, reflecting our ongoing commitment to reinvestment and business priorities, and that includes digital development, media content, product integration and platform enhancements. These also include development of automated sales tools, workflow improvements and other critical product enhancements. Capital spending is very much in line with our full-year projections. As we mentioned last month, ahead of announcing the Cars.com spin-off, we temporarily suspended the share repurchase program, which we anticipate resuming following the conclusion of the spin. At the end of the quarter, our long-term debt stood at $4.2 billion reflecting the extinguishment of $193 million in 10% senior notes, which reached their maturity earlier this year, resulting in a net reduction of annual interest expense of about $14 million. Beyond this, just yesterday, we accelerated the redemption of the outstanding $70 million remaining of our 7.125% notes, which were due to mature in September of 2018. The early redemption will result in a total net reduction of interest expense of approximately $5 million over the next two years. Also during the quarter, we amended our revolving credit agreement to increase it by $103 million and borrowed $300 million under a new four-year term loan due in 2020. The interest rate on the new term loan is the same interest rate as borrowings under the revolving credit agreement. We used the proceeds of the new term loan to repay a portion of the outstanding amount under our revolving credit facility. At the end of the quarter, cash on the balance sheet stood at $107 million. Free cash flow for the quarter was approximately $197 million. With that, I'll turn the call back to Gracia for closing remarks.
Gracia C. Martore - TEGNA, Inc.: Thanks, Victoria. As you can see in today's results, we are on track, while we are on track to complete the spin of Cars.com by the end of the second quarter next year, our focus on growing and innovating across all of our businesses is as strong as ever. We look forward to continued strong progress across all fronts through the remainder of 2016 and are excited about the prospects that lie ahead in 2017. With that, I'd like to open it up to questions. Tony?
Operator: Thank you. We'll take our first question from Doug Arthur with Huber Research Partners. Please go ahead. Your line is open.
Douglas M. Arthur - Huber Research Partners LLC: Yeah. Two questions for Dave. Political comes and goes. We're obviously seeing that this year. But the decel in retrans growth in the fourth quarter, Victoria mentioned tough comp there. In terms of the timing of these 42% of the subs you're renegotiating, is that – are those new deals expected to kick in January 1 or is there some kind of – and I thought there'd be more of a phasing, so you'd get some benefit of that in the fourth quarter? Then I have a follow-up.
David T. Lougee - TEGNA, Inc.: Yeah, Doug. I understand the question. I'm going to be a little careful for negotiation purposes. Just simply say the deals last year were more at the beginning of the quarter versus the deals this year being toward the end of the quarter. So it's a one-time sort of negative adjustment, if you will, based on the timing of the subs. Does that help answer your question?
Douglas M. Arthur - Huber Research Partners LLC: Yeah. But in terms of the – you mentioned you're renegotiating on a lot of your subs now going – is that benefit going to be -- from the uplift going to be more of an 2017 event, you're not going to get any residual impact in the fourth quarter?
David T. Lougee - TEGNA, Inc.: That's right. It's a 2017 event. Most all.
Gracia C. Martore - TEGNA, Inc.: The lion's share is 2017. And so with the fact of that plus the lapping of all the deals that we did in the second half of last year, while the dollars are up percentage wise, they are not up as much. But going into 2017, that percentage obviously will...
David T. Lougee - TEGNA, Inc.: Yeah, last year, Doug, we had a major deal that we renegotiated that right at the end of September and another major deal in the middle of the quarter. So we got the benefit of those last year, but this year we're up against that, and to your question, as Gracia said, the lion's share of the deals up this year are a 2017 event.
Douglas M. Arthur - Huber Research Partners LLC: All right. And just a quick follow up on broadcast margins. I mean, for a big Olympic quarter, a lot of political activity, not as much is expected, obviously. Your cash costs were only up 14%, which is pretty unusually low for such a big seasonal quarter. So, margin – despite all the fears about reverse retrans, you had a nice pop in margins. And I guess, as you've talked about, you expect some of that to continue in 2017 given your initiatives. So any comment on margins?
Gracia C. Martore - TEGNA, Inc.: Yeah, Doug, I think it's – at the same time, that obviously we've had reverse retrans kick-in in some areas for the first time this year. And at the same time that we have walled-off investment for the significant initiatives that Dave has talked about that are now bearing very good fruit and will bear even more fruit in 2017. We continue to bring our normal discipline that we've always brought to expenses, finding new ways through new technologies and new skill sets et cetera to continue to be thoughtful around our cost structure, at the same time making sure we spend enough to move ahead with the initiatives, while we also obviously face the reverse retrains hurdle that Dave outlined for January 1. And that's why, I think you know it's a combination of those two things that gives us great confidence, as Dave said, that we're going to be able to more than offset that net retrans gap next year, because as Dave said, it's not only the top-line on retrans that where we are going to benefit, but it's also on the initiatives that we are spending dollars on very carefully.
Douglas M. Arthur - Huber Research Partners LLC: Great, thank you.
Operator: Thank you. And next we'll move to Barton Crockett with FBR Capital Markets. Please go ahead, your line is open.
Barton Crockett - FBR Capital Markets & Co.: Okay, great. Thanks for taking the question. I was curious about the ad trend ex-political in the guidance for the fourth quarter, which would – and there's a few puts and takes, but it would seem to suggest maybe a double-digit decline ex-political. I was wondering if you could talk about what's going on there. Is it political squeezing things out or is there something more fundamentally pressuring the TV ad market in what you see right now?
David T. Lougee - TEGNA, Inc.: So the challenge for us, at this point, always even with elections is that there's – the amount of spending that will take place post-election day is always a little bit invisible to the industry, so it's a little challenging to know exactly where it'll end up. I can tell you it certainly is improving. Auto after the election is positive, but we do believe that there have been some dollars this quarter, that said, that went because of the expected high political in the industry, sat out the quarter and now we're working to bring those dollars back. But we do because even though our presidential is – I mean, our political is down from 2012, it's still a big piece of our total and does push a lot of dollars out and now we work to bring them back.
Gracia C. Martore - TEGNA, Inc.: The other thing we would add is remember we have three less days in the quarter.
David T. Lougee - TEGNA, Inc.: Right.
Gracia C. Martore - TEGNA, Inc.: And all of that is in core retrans isn't impacted. It's all in core and that's about $10 million of revenue that is absent. And so do have the adjusted numbers, Dave?
David T. Lougee - TEGNA, Inc.: If I might add to that – so Victoria gave the guidance for the quarter of total net revenues being plus $12 million to plus $15 million for the quarter, but when you adjust for the extra three days last year that's actually plus $15 million to plus $18 million.
Barton Crockett - FBR Capital Markets & Co.: Okay.
David T. Lougee - TEGNA, Inc.: Apples to apples basis, our guidance is plus $15 million to plus $18 million total net revenues.
Barton Crockett - FBR Capital Markets & Co.: Okay. And just a kind of beat the dead horse here a little bit. There's a lot of noise, but is there anything that you see that would suggest that the TV ad market is weakening or troubled, excluding all of this noise or do things look okay?
David T. Lougee - TEGNA, Inc.: Yeah. I can't make that assessment. Actually third quarter looked to be very strong. I just think that political mix – political does create noise for us too in understanding the underlying fundamentals and it does push people out. So we don't have any evidence, especially with the third quarter being fairly decent that there is any major change.
Gracia C. Martore - TEGNA, Inc.: Yeah. I mean in the third quarter we – virtually literally every category was up. Now we benefited obviously from incremental dollars around the Olympics, but the dollars are there around the events and...
David T. Lougee - TEGNA, Inc.: And our core for third quarter ended up being stronger than we thought going into the quarter...
Gracia C. Martore - TEGNA, Inc.: Right. Right.
David T. Lougee - TEGNA, Inc.: So...
Barton Crockett - FBR Capital Markets & Co.: Okay. And then kind of in a similar vein, on the – excuse me, the Cars.com revenue trend, that's skewed a little bit by the acquisition, which you said will be a material kind of contributor into 2017. Can you tell us what the cars revenue growth trajectory was, excluding the month and a half or so you had at the DealerRater? Yeah.
Alex Vetter - Cars.com LLC: Sure, Barton. Actually the DealerRater revenues are negligible for the third quarter and we don't see that having a material impact until 2017. So most of the revenue that we're reporting here today are reflective of the organic business.
Gracia C. Martore - TEGNA, Inc.: And just to refresh memories, Barton, recall that when we announced the DealerRater transaction, we talked about the fact that DealerRater brought reviews and it brought a technology platform, but it didn't have a sales force. And the wonderful synergy for cars is the fact that it brings its incredibly successful army of sales people to sell this product to dealers and to include it in the package. And so, obviously, there's a period of – we just bought it a few months ago. There's a period of integration with respect to the sales force at Cars.com, but I think, I know, Alex, you feel very good about the progress they're making and that's why we definitely see DealerRater as a 2017 event. All of our acquisition modeling, et cetera shows a very nice ramp in revenues, because we're bringing the power of the cars sales force to bear at that point.
Barton Crockett - FBR Capital Markets & Co.: Okay. And just to put a finer point on that. You see that really ramping in 2017, but not on in the fourth quarter of 2016, it's really a next year event?
Gracia C. Martore - TEGNA, Inc.: Yeah.
Alex Vetter - Cars.com LLC: Correct.
Barton Crockett - FBR Capital Markets & Co.: Okay. And then just one final thing, on the expense side, on the media networks part of it into the fourth quarter, is there any puts or takes? I mean there's lot of noise in the third quarter expenses. Is there anything we should think about in terms of the trend for the fourth quarter?
David T. Lougee - TEGNA, Inc.: You're talk about for Media?
Barton Crockett - FBR Capital Markets & Co.: Yeah.
David T. Lougee - TEGNA, Inc.: Yeah. No, I think, the expense run rate there is no big variations.
Barton Crockett - FBR Capital Markets & Co.: Okay.
David T. Lougee - TEGNA, Inc.: Yeah.
Barton Crockett - FBR Capital Markets & Co.: Great. Thank you.
Operator: Thank you. And next, we'll move to Kyle Evans with Stephens. Please go ahead. Your line is open.
Kyle Evans - Stephens, Inc.: Hi. Thanks. Will start off with some Cars.com questions. The quarter's the growth rate so far this year have been 6%, 6% and 8%, you guided to second half of the year growth of 9%. First off, are you holding that guide? And second off, what is going to be done next year to get that back to double-digits?
Gracia C. Martore - TEGNA, Inc.: Kyle, I'm going to interject only because literally we – just as I mentioned earlier, filed the amendment to our Form 10 last evening. And we've been advised, we have to be careful about giving any additional numbers around Cars going forward, because it's been filed. But short of that...
Alex Vetter - Cars.com LLC: Yeah. I mean, I would say, just for 2017, Kyle, as you know, the majority of our revenues are a collection of dealerships across the country. Our experience has been it takes time for them to embrace new technology and understand the changes in consumer behavior. In almost every media category, consumer behavior moves first and advertising dollars tend to lag consumer behavior. When we look at the shift of our mobile business, and the change in consumer behavior, we know it's going to take us some time to get the dealers to understand the evolution of the shopping journey, but we've been at it now for a year. I think, we're getting very strong acceptance from the industry that mobile is changing the game. You see that in our manufacture and major dealer account spending, both up in high double-digit growth rates year-over-year, because they're faster to adjust our media attribution models, but we're going to continue to stay out at the local level and we expect 2017 to be a strong year.
Kyle Evans - Stephens, Inc.: Could you provide an update on the affiliate contribution to overall revenue and then maybe dive down into the flat affiliate revenue in the quarter, how is that progressing?
Alex Vetter - Cars.com LLC: We're really pleased with some of the progress of our affiliates. In fact two of our five actually not only posed gains over the quarter, but sequential quarter growth – year-over-year growth as well as sequential quarter growth. Unfortunately, it's only two of the five, so what it does affirm is that, our individualized approach to working with each of our media partners, to work on their sales and marketing plans can bear fruit. I think importantly, we've also seen that the three media partners that haven't performed well are examining and studying the two that are growing well quarter-over-quarter. And they're sharing best practices and we expect and hope to see those two to turn the other three that haven't performed on par with the two that have. So we' pleased and we expect the affiliate channel to move from flat to down growth to positive growth heading into 2017.
Kyle Evans - Stephens, Inc.: And the contribution from new affiliates?
Alex Vetter - Cars.com LLC: The affiliate revenue represents about 25% of our total revenues.
Kyle Evans - Stephens, Inc.: Okay. And lastly for Dave or Gracia, could you please provide an update on your retrans sub-count? Thank you.
David T. Lougee - TEGNA, Inc.: Yeah. Our retrans sub-count is stable. It varies month-to-month seasonality, but it's overall stable.
Gracia C. Martore - TEGNA, Inc.: Yeah. I think we have the normal seasonality this quarter...
David T. Lougee - TEGNA, Inc.: Yeah.
Kyle Evans - Stephens, Inc.: Yeah.
Gracia C. Martore - TEGNA, Inc.: ...the summer which we've seen in...
David T. Lougee - TEGNA, Inc.: And our billing is 60 to 90 days in arrears of the actual month, so it doesn't matchup necessarily with MVPD quarters et cetera, but they are stable.
Kyle Evans - Stephens, Inc.: Could you be more specific on the normal seasonality, what is that?
David T. Lougee - TEGNA, Inc.: For instance, we've got markets like Tampa and Phoenix where people you know detach when they go back north for the winter et cetera. So we've got inside our footprint a lot of anomalies, and they also don't line up with the actual moment the events happen because the billing from the MVPDs come 60 to 120 days later et cetera.
Kyle Evans - Stephens, Inc.: Okay. Thank you.
Operator: Thank you. Next we'll move to Jim Goss with Barrington Research. Please go ahead. Your line is open.
James Charles Goss - Barrington Research Associates, Inc.: Thanks. It did seem that car ads in the third quarter were above expectations. It seemed like they filled in the gap where political was somewhat absent relative to expectations. Did the crowded out advertisers seem to jump back in when political slipped or did you create any incentives for that to occur?
David T. Lougee - TEGNA, Inc.: Yeah, as we are in the fourth quarter, I think you're right, so a slightly less inventory than we had thought was utilized. So we were able to pull some back in, but mostly actually the demand was more than we thought. And we were able to exceed our expectations on the Olympics. For us, we did you know – we planned for a strong growth, but we exceeded that, so for us a large driver, which was the Olympics and that wasn't relatively much different to political.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Now you were talking internally about the whole political issue was not only Trump not spending a lot of money, but Clinton spending less than Obama has, as I think you observed earlier. And I'm wondering if there is any structural change to the whole political dynamic like is this – is there any chance that there is a new normal since the presidential races get covered pretty well on a national basis and there is lot of social media aspect to it that didn't exist earlier, does it expose maybe a vulnerability to some of the bump that you've traditionally been able to get in the presidential years anyway?
David T. Lougee - TEGNA, Inc.: Yeah. I'll take that one. No. I don't think so. I think at the end of the day, the well-publicized lack of enthusiasm about both candidates, which has been a record lack of enthusiasm, right, by all statistical polling counts has translated into the same on presidential spending. But it's notable when -- that the money they have left this week, right, in the events that there, it's all going to television. I mean, it's they're throwing it at it, so I think what I would point to is just take a look at the Senate races and the House races and the governors' races. You broadcast – we could make the same argument about using Twitter to win those races, and in fact we're seeing spending level increases. So I do think there is lots of 360 data that points to this really being an anomaly relative to this presidential election.
James Charles Goss - Barrington Research Associates, Inc.: I guess, the silver lining is you won't have as much of a relative slippage in a couple of years, in the internal actions.
David T. Lougee - TEGNA, Inc.: There you go.
James Charles Goss - Barrington Research Associates, Inc.: One last thing, CareerBuilder, with the hiring of bankers and examining options, I was wondering if you might give any added thoughts, Gracia, about timeframes or variety of options you're willing to consider. And also, on a related basis, what share of business has moved to the SaaS-type model versus more of the traditional spend?
Gracia C. Martore - TEGNA, Inc.: Yeah. Let me answer the last question first. I think we are at about 20% to 25% of the business has moved to SaaS, and that is obviously growing at a faster rate than the rest of the business. So we anticipate that we'll continue to see that evolution over the next few years. As well, some of the acquisitions that CareerBuilder has done most recently, particularly with WORKTERRA -- and that those numbers actually don't even include WORKTERRA, that and some other things that they've done have moved them even more towards Software as a Service. So we expect that that evolution is going to pick up, and it will be a much more significant part of the pie in the next couple of years. As to timing, as with everything, we are proceeding as we always do very diligently and as quickly as is prudent, making sure that we look at everything. At the end of the day, we would never rule out any alternative. We are here to create the maximum shareholder value, so we will be looking at a variety of things. But it is interesting, as I said in my remarks, that there has been an amazing amount of inbound interest with respect to the asset. And I think that's just a reflection of the great job that Matt and his team have done in really transitioning and transforming that business. And it's been a little painful for us over these last several quarters, but the really fantastic job they have been doing in transforming and transitioning that business away from the jobs board aspect of it -- obviously that continues to be a piece of the pie -- but away from just being a pure play jobs board to a really full pre hire, and now with the acquisition of WORKTERRA, post hire platform. So couldn't be more pleased with the progress being made there. Victoria.
Victoria D. Harker - TEGNA, Inc.: And just to expand on this a little bit further, and you probably remember this from our prior call: that SaaS-based business is two to three years contractually, so on average we're amortizing the revenues across that period of time. So it's not apples-to-apples when you look at the job board transaction-based revenue, which is recognized in the month. So it may muddy the water a little bit in terms of what you're looking at, but the growth obviously is an ongoing bigger piece of the business.
Gracia C. Martore - TEGNA, Inc.: And it also takes time to ramp up...
Victoria D. Harker - TEGNA, Inc.: Ramp up.
Gracia C. Martore - TEGNA, Inc.: ...those versus transactional business that you're reporting revenues right away.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks to all of you.
Gracia C. Martore - TEGNA, Inc.: Thank you.
David T. Lougee - TEGNA, Inc.: Thank you.
Operator: Great. Thank you. Next we'll move to Craig Huber with Huber Research Partners. Please go ahead, your line is open.
Craig Anthony Huber - Huber Research Partners LLC: Yes, good morning. Thank you. Just a few basic questions. You're up 3.1% reported number for CareerBuilder year-over-year, I was just curious what that number is excluding the two small acquisitions?
Gracia C. Martore - TEGNA, Inc.: Yeah. First of all, WORKTERRA had virtually, I think, almost zero impact on the quarter, because it was done so late in the quarter and then it takes time to do some things. With respect to (51:59), again, that's another situation where we looked at that asset and said, again, great technology platform, great little business, but what we need to do is we need to bring the sales force of CareerBuilder to bear on that company, and that's exactly what Matt is doing, and we're already seeing some early successes. But really what we have modeled in and what we anticipated was that we would see a much steeper ramp in those revenues into the first quarter and beyond of 2017. The growth at CareerBuilder is a variety of pieces, as I said earlier. It's a little bit from the acquisitions; it's also from the two pieces that I mentioned earlier, and then jobs piece is down. So, when you combine all of those pieces, they registered the growth that they did. So it's no one thing that has caused the growth of the company.
Victoria D. Harker - TEGNA, Inc.: And keep in mind, these are modules that are being sold within a product suite, so it's going to be contributing to growth of the overall revenue numbers over time, being in the bag that are within the sales force. So it's not a separate company, it's not a separate tracking that we're doing separate for that.
Craig Anthony Huber - Huber Research Partners LLC: So just to be clear, I'm sorry, are you saying that if you exclude the two some small acquisitions, the number still is roughly 3.1% for the quarter?
Victoria D. Harker - TEGNA, Inc.: No, that's not what we're saying. What we're saying is that it had a small contribution. Probably the bigger contributions were from other areas that I mentioned that were both up double-digit growth, but then we had an offset with, as we've been saying for the last few quarters, the job, the jobs postings part of it.
Craig Anthony Huber - Huber Research Partners LLC: Can I just ballpark I think, Gracia, (53:56) maybe 100 to 200 basis points, the growth rate?
Gracia C. Martore - TEGNA, Inc.: I don't have that with me, but I'm going to conclude it by saying that we had growth in most parts of the business, a little bit from the acquisition, quite a bit from the two things that I mentioned, but then we obviously had to offset the jobs boards piece, which is pricing has been under pressure and we've talked about that for virtually the last three or four quarters.
Craig Anthony Huber - Huber Research Partners LLC: And can I ask you guys of the December TV pacings please? And given it's about a month out, how is that looking year-over-year? You touched on it little bit, but I mean, how is the month of December looking for TV advertising?
David T. Lougee - TEGNA, Inc.: Hey, Craig, it's choppy. It's early. So I mean it's obviously the best of the quarter as it always will be, but that's what I was mentioning earlier. It doesn't really present itself until after Election Day and so beginning next week. But it's the best month of the quarter and it continues to improve.
Craig Anthony Huber - Huber Research Partners LLC: And then also, what's your take please on the NFL ratings? You touched on it, but what has changed in the last 12 months why they're down 10% plus, what's your thought on that?
David T. Lougee - TEGNA, Inc.: I think everybody's got opinions. We know the elections did some, but I would just say about, it's again, if you look at it on a graph, it's 1 year decline against an incredible ramp up. Sports, in general, I think is incredibly valuable. Just look at the current World Series ratings compared to a year ago, and I think it's probably more a little bit about the games, the actual matchups and some of the election competition et cetera. It's not something of great concern to us.
Craig Anthony Huber - Huber Research Partners LLC: Okay. Thank you.
Gracia C. Martore - TEGNA, Inc.: Good. Thanks, Craig. I think we literally have time for one more question since it's about to be 12 o'clock.
Operator: Great. Our final question will come from John Janedis with Jefferies. Please go ahead, your line is open.
John Janedis - Jefferies LLC: Thank you. Maybe a couple for Dave. First, you spoke to positive economics from OTT distribution. Can you remind us to what extent you're negotiating directly with the distributors rather than the network on your behalf? And is your expectation that all future OTT players will include local stations in the base package?
David T. Lougee - TEGNA, Inc.: Thanks, John. Yeah, let me start with the second question first, what is absolutely incredibly positive news for us is fundamentally and the OTT entrants, when you speak with him directly, will tell you without asking, being asked, is that the integrated broadcast, national, local channel is by far the base package of what they want. It is the foundation of any skinny bundle service. And their inability frankly to get those yet as fast as they want is what's delayed the rollout of a lot of the skinny bundles. To your first question, yes to both. We are – it's a three-way negotiation. I think there have been certainly maybe a handful of people, at a handful networks that have wanted to make that be just simply a negotiation with the networks, but we're having good conversations with our network partners and directly with the OTT distributors that matter.
Gracia C. Martore - TEGNA, Inc.: And I think that's because of our scale.
David T. Lougee - TEGNA, Inc.: Yep. I think we obviously have a lot of scale that matters and the markets that matter, because it's – in our particular case, the rollout of these services will not be uniform across the country. It will be the large markets first, so that gives us sort of – when you look at our footprint John, it's sort of a unique seat at the table in those conversations.
John Janedis - Jefferies LLC: Got it. Thanks. And then maybe a couple of quick follow-ups. First is, can you remind us how the NFL has sold, meaning, do you guarantee the ratings and was most of the season presold, so the financial impact maybe is minimal on a practical level? And then back to political, understanding this was a unique year, was there any evidence of dollar shifting to local cable, national or digital?
David T. Lougee - TEGNA, Inc.: Let me again take the second one first. I think on local cable, just because broadcast does so well with presidential and the House is something that, when you think about that House races being so hyper-local, that cable has always had a better share of House races than they have of others, simply because of the fact that the House will be a bigger percentage of the overall pie, John, because of presidential coming down. That will bring up their share. And so I think they do – I think they will have a slightly larger share shift but the lion share will continue to be broadcast. And I apologize, your other question?
John Janedis - Jefferies LLC: Is the NFL sold on a guaranteed basis and was lot of it presold, so the financial impact's actually minimal?
David T. Lougee - TEGNA, Inc.: It's combination of both, but most of it's not presold. And the other thing is, when our ratings are strong, I mean the point is, is that even though the headline is relative to last year is that we've still got numbers that exceed, in many cases 2 years ago. So it's not like a make good problem for us on any type of scale at all.
John Janedis - Jefferies LLC: Okay, great. Thanks a lot.
Gracia C. Martore - TEGNA, Inc.: Thanks very much for joining us. And if you have any questions, please call Jeff Heinz at 703-873-6954. No, he's still got the same number. We all changed our number 703-854-6917. Have a great day.
Operator: Thank you. This does conclude today's conference. You may disconnect at any time and have a great day.